Koji Ikeya: Good evening, I’m Ikeya, Executive Vice President and CFO. Thank you very much for joining our First Half 2022 Financial Results Briefing. The business environment surrounding us such as worldwide shortage of parts supply, logistics disruptions, and Russia’s military invasion of Ukraine continue to be uncertain. Even in such a business environment, we achieved a significant year-on-year improvement, thanks to our focus on improving the quality of sales and net revenue, and favorable currency exchange rates. Net sales for the first half increased 30% year-on-year to ¥1,158.2 billion. Operating profit improved significantly year-on-year to ¥84.6 billion, thanks to improvement in the regional mix and selling prices. Operating profit margin was 7.3%. Ordinary profit was ¥101.3 billion due in part to foreign exchange rates and net income was ¥82.7 billion. For the second quarter alone, net sales were ¥629.5 billion, operating profit was ¥53.8 billion with operating profit margin at 8.5%, ordinary profit was ¥51.8 billion, and net income was ¥44.1 billion. Sales volume was 426,000 units globally. Please turn to Page 4. This slide explains the factors behind year-on-year changes in operating profit for the first half of 2022. Volume and mix and selling price combined showed an improvement of ¥38.2 billion year-on-year, this was mainly due to improvement in the regional, country and model mixes as well as improvement in selling prices. Despite an increase in advertising expenses in line with the plan, sales expenses improved by ¥9.9 billion in total, mainly due to continuous and large reduction in the incentives mainly in North America. In procurement and shipping cost, we were able to partially offset the raw material price increase by our effort in procurement cost reduction. However, additional deterioration in transportation costs and factory expenses, led to an overall deterioration of ¥35.5 billion. R&D expenses increased by ¥8.3 billion year-on-year as planned to prepare for the introductions of new models from the next fiscal year onward. In Other, improvement in after sales business and domestic subsidiary performance resulted in a positive impact of ¥5.5 billion. With regard to foreign exchange rates, the impact of the U.S. dollar and the Australian dollar in particular, brought a positive effect of ¥49.6 billion year-on-year. In total, operating profit increased by ¥59.4 billion year-on-year. Although, there are fluctuations on a quarterly basis, operating profit for the first half increased year-on-year even without the impact of foreign exchange rates, thanks to the improved volume and mix and selling price and lower selling expenses absorbing the increases in procurement and shipping costs and R&D investment. We believe this is the result of the company-wide strategy to improve our net revenue. Please turn to Page 5. This slide explains the factors behind year-on-year change in operating profit for the second quarter 2022. Volume and mix and selling price improved by ¥25.5 billion year-on-year. This was mainly due to increases in wholesale volume in ASEAN, Australia and New Zealand, and North America, as well as selling price improvements in some regions. Sales expenses improved similarly to the first quarter by a total of ¥5.3 billion, mainly due to the reduction in incentives in North America. In procurement cost and shipping cost soaring raw material prices pushed down profit by ¥20.4 billion. R&D expenses increased as planned to push down profit by ¥4.5 billion year-on-year and others improved by ¥1.2 billion, thanks to an improvement in the performance of after-sales business. With regard to foreign exchange rates, the general trend on weak yen particularly against the U.S. dollar and the Australian dollar, had a positive effect of ¥32.1 billion year-on-year. In total, operating profit increased by ¥39.2 billion year-on-year. Please turn to Page 6. Next, I would like to explain our sales volume for the first half of 2022. Overall, our sales volume decreased 4% year-on-year to 426,000 units, mainly due to constraints on production volume caused by the ongoing shortage of semiconductors. Following the first quarter, major declines came from China where the government maintains the zero COVID policy and from Europe due to reduced product offerings and suspension of vehicle supply due to the Russia-Ukraine crisis. Sales volumes in North America were also had relatively significant impact by vehicle supply shortage. In the following pages, I would like to discuss the sales status of our core markets, North America and Japan. Please turn to Page 7. First of all, I will explain our mainstay ASEAN region. In Thailand, the number of new infections of COVID-19 has been decreasing since April. The emergency declaration was lifted on September 30 and immigration restrictions were completely eliminated on October 1. On the other hand, shortages of semiconductors and other parts continued, affecting the total demand. Our main models, such as the XPANDER, the TRITON and the PAJERO SPORT are showing year-on-year increases in unit sales, but the competitive environment in the overall market is becoming increasingly fierce due to the introduction of new models by competitors. Our market share increased only slightly, partly due to the sales price increase as part of our net revenue strategy. In Indonesia, total demand is strong as the economy recovers from the pandemic but vehicle supply constraints persists due to the shortage of semiconductor parts. In addition, events like an interest rate hike announced in September, soaring consumer prices, subsidized fuel price hike began to have a negative impact on customer purchasing power. Under such circumstances, production constraints on our core model, the XPANDER were greater than anticipated due to the impact of Shanghai lock-down in the first quarter and continued component supply shortages. Although, we made a slight recovery in the second half of the period against the backdrop of strong demand, it was not enough to resolve our order backlog. In the second half of the fiscal year, we will strengthen our marketing activities in line with the introduction of new models and aim to increase unit sales at fair prices. In the Philippines, the government‘s quarantine and warning measures were relaxed since March 2022, and the Philippines International Motor Show was held for the first time in four years, helping the continuous recovery in automotive demand. The demand for new cars recovered to 88% of the level in the first half of fiscal year 2019 before the pandemic. In addition to strong orders for the new XPANDER, since its launch in May, we succeeded in maximizing the sales of the MONTERO SPORT amid the vehicle supply constraints, driving our sales and market share. Since our major models have considerable order backlogs, we are planning to increase production. In Vietnam, restrictions on social activities have been mostly lifted and the situation seems to have returned to pre-pandemic times. Transportation demand is recovering, particularly for the XPANDER and the ATTRAGE as domestic tourism demand comes back and restrictions on inbound travelers are eased. In addition, orders for the new XPANDER, which was launched in July, have been strong, significantly exceeding expectations. Similarly, the Malaysia market as a whole continued to recover steadily, and our sales also remained strong. All countries in the region are returning to the situation before the pandemic and the demand is recovering steadily. On the other hand, vehicle supply constraints still persist with no sign of resolution. We will carefully follow up on our customers waiting for our vehicles and execute appropriate sales measures. Please turn to Page 8. In Australia, total demand was on a par with fiscal year 2019, when the impact of COVID-19 was minimal. In such a market environment, we like our peers were significantly affected by the vehicle supply constraints and we are struggling to deliver products and reserve back orders. However, we were able to maintain robust sales through negotiations with logistics companies. In New Zealand, total demand was driven by PHEV and EV models, boosted by the Clean Car Discount initiatives. Following the first quarter, we increased our market share year-on-year by strengthened sales of the ECLIPSE CROSS PHEV model and the OUTLANDER PHEV model which are eligible models for the CCD program. In Australia and New Zealand, the newly launched all new OUTLANDER and the all new OUTLANDER PHEV model were both highly regarded by the marketplace and won the 2022 Australian Good Design Award. Orders in both countries have remained strong, exceeding our expectations. To minimize the impact of the shortage of semiconductors and other parts on production volume, we will secure our production volume by reviewing our vehicle specification plan to help maximize our sales volume. Both in Australia and New Zealand, we do not have a clear idea as to when the vehicle supply constraints will be resolved. Given such circumstances, we will strive to minimize order cancellations by through appropriate follow-up on the customers who are waiting for their vehicles. Please turn to Page 9. Next, I would like to discuss the current status of our North American business. As it was in the first quarter, demand was strong in the North America market but we suffered from the vehicle supply shortage due to semiconductor shortage and delay in the supply of production parts from China. As a result, our dealer inventories remained at historically low levels. We continued to be unable to increase the retail sales volume of the new Outlander, in particular, due to significant impact of inventory shortages. The new OUTLANDER PHEV model, which we announced online on October 12, is compliant with U.S. ZEV regulations. The product features of PHEV and S-AWC have also been favorably received by the market. We intent to achieve sales synergies by promoting exposure of the PHEV model together with the ICE model. We acknowledge a downside risk to the total demand due to rapid and significant increases in interest rates and the possibility of economic downturn. Incentives have remained at the low levels so far in the industry average but for some segments where inventory level is coming back to normal, incentives seem to have bottomed out. On the other hand, it is still hard to determine whether sales are already slowing down because of excessively low inventory levels. We are working to move away from price differentials and with the introduction of the OUTLANDER, we will ensure that our sales are always based on product competitiveness and brand appeal. Please turn to Page 10. Finally, I would like to explain the status of our domestic market. Overall demand in Japan remained at a low level in the first half of FY2022 impacted by the lockdown in Shanghai and a shortage of vehicle supply caused by semiconductor and parts supply constraints continuing since last year. In this environment, we achieved the year-over-year growth of about 30% due to strong order intake for our flagship models such as new OUTLANDER PHEV model and DELICA D:5. Moreover, we have successfully sold a total of over 6,500 units of eK X EV by the end of Q2 since its launch in June. The eK X EV is a familiar EV that everyone can choose easily and has been well received by the customers because of its quietness unique to EVs, the sufficient driving range, the affordable prices and inexpensive running cost and so forth. This model also has the tight supply issues as the other models but we are trying our best to maximize the sales by closing following up on the customers who are waiting for our cars. Going forward, while it will be necessary to closely monitor the risks of vehicle supply shortage, due to the lack of semiconductors and other parts, we will strive to improve the quality of sales by focusing on enhancing servicing quality and customer service quality as it pursuing the environment, safety, security and comfort that features unique to Mitsubishi Motors. Next, please turn to cut over to explain our FY2022 forecast that was from the five years. Please turn to Page 12. In the first half of FY2022, we maintained strong momentum from the first quarter, and we recognize that we performed very well, exceeding our expectations. Although, there was a tailwind from the FX rates, we believe this is the result of our company-wide concerted efforts to resolve issues. In light of the fact that operating profit and ordinary profit progressed to around 80% and the net income to over 90% versus our full year forecast announced in July. We decided to revise our consolidated full year guidance again, as shown in this slide. The net sales have revised from ¥2.35 trillion to ¥2.53 trillion, the operating profit from ¥110 billion to ¥170 billion, the ordinary profit from ¥120 billion to ¥180 billion, and net income from ¥90 billion to ¥140 billion, respectively. On the other hand, taking into account the tight supply of components, particularly the semiconductors, and the impact from the vessel shortages be lowered our sales volume forecast from 938,000 units to 908,000 units. In the second half of FY2022, in addition to the continued unstable business environment, the global economy is expected to face an even greater risk of a recession due to the inflation and interest rate hikes, as well as geopolitical risks, including the conflict Russian and Ukrainian. Also, we are going to take our utmost effort to achieve the revised full year earnings forecasts by becoming more nimble and a flexible organization to respond to the drastic changes, like a sharp fluctuation in FX rates. Please turn to Page 13. The factors behind changes in operating profit forecast for FY2022 compared to the previous fiscal year are shown in this slide. Regarding the impact of volume and mix/selling price, we expect a total positive impact of ¥81.8 billion by achieving the in-sales target as well as improving the quality of sales despite the impact from the shortage of vehicles. With regard to sales expenses, while advertising expenses will be spend as planned, we expect ¥8.6 billion of positive impact to profit due to the lower sales incentives than we expected. We expect an increase of ¥94.6 billion in material and transportation cost, due to the higher raw materials and component costs, including semiconductors, as well as higher factory costs due to surging freight costs, although it was partially observed by the material cost reduction activities. R&D expenses are on an increasing trend as planned and towards the launch of new models scheduled in the next year onwards, and we anticipate an increase of ¥11.3 billion. In others, we anticipate ¥13.6 billion of a cost increase due to the higher personnel costs and a headwind from the localized components impacted by the global inflation. As you can see in this slide, we are expecting the part to impact our ¥111.8 billion from the current level of FX rate. Please turn to Page 14. Regarding the latest outlook for the operating profit in FY2022, the factors behind changes from the initial forecast are shown in this slide. We lowered our forecast by ¥2.5 billion due to the lower sales volume that was impacted by the tight supply of the chips and the shortage of vessel capacity. On the other hand, the profit improvement of ¥16.7 billion is expected thanks to the better mix and the selling prices that have been improving faster than we originally thought. We expect a positive impact of ¥14.2 billion in total. With regard to the sales expenses, we expect an upturn of ¥15.4 billion taking in the portion improved in the fast half 2022. The materials and transportation costs are expected to increase by ¥12.2 billion based on the assumption of higher raw materials and semiconductor components costs, as well as the surge in factory expenses caused by higher freight costs. With regard to others, the after-sales and domestic subsidiaries P&L expected to improve by ¥11.5 billion compared to the initial assumptions, including a positive impact from the reduction of general expenses and so on. We also expect a positive impact of ¥31.1 billion from the foreign exchange rate, mainly from the stronger U.S. dollars. Please turn to Page 15. This slide shows the retail sales forecast for FY2022 compared to the previous fiscal year. We have been unable to meet orders from customers in various regions. For models that embody Mitsubishi Motor’s uniqueness such as the new Kei EV, eK X EV launched this fiscal year, the new ECLIPSE CROSS PHEV, OUTLANDER, OUTLANDER PHEV model and XPANDER, due to the impact of semiconductors and other parts constrains. Even if we’re able to procure sufficient – if we were able to procure sufficient semiconductors, it will be difficult for us to secure vessels for the transport of finished cars. As a result, our global retail sales are expected to decrease to 908,000 units, which is lower than the previous fiscal year. Please turn to page 17. We resumed the sales of MINICAB MiEV to customers in general as announced on October 13. MINICAB MiEV is the only kei commercial BEV among domestic manufacturers, and since December 2011, it has been sold mainly to delivery business companies. The production was terminated at the end of March 2021 expect the sales to limited corporate customers. However, in order to meet the strong demand mainly from the logistics-related companies and the local governments, we decided to resume its sales in general. Fortunately, since it’s announcement, we have received inquiries from a wide range of corporations. In addition to the new eK X EV launched in June, we will strengthen our Kei EV lineup and continue to contribute to resolving climate-change and energy-related issues and realizing carbon neutrality as a pioneer in electric vehicles. Please turn to Page 18. The total sales of OUTLANDER PHEV model, our flagship crossover SUV, won the first place in the PHEV sales ranking in Japan with 10,749 units sold in first half of fiscal 2022. In addition, the PHEV model of the ECLIPSE CROSS sold 2,430 units as the second place in the PHEV category. With total sales of 13,179 units for the both PHEV models, we took the lead in the PHEV category of the Japanese market with about 65% of total share. We have been taking the lead in the PHEV category with around 310,000 units of order OUTLANDER PHEV sold in more than 60 countries around the world. The next-generation model we launched in Japan in December 2021 has been highly acclaimed by customers for its bold exterior design based on the product concept of I-Fu-Do-Do, or authentic and majestic in Japanese; it’s convenient seating arrangement for seven passengers in three rows; and the smooth and powerful acceleration of a twin-motor 4WD. In addition, we have already begun sales in New Zealand and Australia, but we have been unable to meet the orders from our customers. We also announced to launch the new OUTLANDER PHEV model in October in North America, which has been a great interest of our customers. Please turn to Page 19. We launched the new XPANDER CROSS, a crossover MPV, at the GAIKINDO Indonesia International Auto Show 2022 or GIIAS 2022, which is the largest show in Indonesia. Followed by the refreshed XPANDER launched last year, the new XPANDER CROSS will be built in Indonesia and rolled out sequentially to other markets centering the ASEAN region. We will further expand our presence, focusing on ASEAN, through the XPANDER Series. In addition, on September 21, Mitsubishi Motors Europe B.V., our European headquarters, premiered the new-generation ASX for the European market at an online event. ASX, a compact SUV, is one of our core global models which was introduced in Europe in 2010. Based on the Renault-Nissan-Mitsubishi Alliance CMF-B platform, the new ASX is a compact SUV supplied by Renault specifically for the European market. We will begin sales through our distribution network in Europe from the coming March. We will continue to strengthen our product lineup in line with the characteristics of each sales region to meet the diverse needs of our customers. Please turn to Page 20. On October 19, we held the world premiere of the Mitsubishi XFC Concept, a compact SUV concept car, in Ho Chi Minh City, Vietnam. The car was on display at Vietnam Motor Show 2022 held from October 26 to 30. We have provided a wide range of products tailored to the ASEAN market, the TRITON pickup truck and its derivative, the PAJERO SPORT midsize SUV; the XPANDER and XPANDER CROSS crossover MPVs; and the Mirage compact hatchback and its variant and the ATTRAGE sedan. The Mitsubishi XFC Concept that we have announced is a much-awaited compact SUV and a new addition to the current ASEAN lineup. We will launch the new compact SUV sequentially in the ASEAN markets, including Vietnam in FY2023. In the future, we plan to add an electrified variant to the lineup and to also roll it out in regions outside ASEAN. We hope this model will grow like our sales-leading XPANDER crossover MPV which has grown from an ASEAN dedicated model to a global strategic model. Three years have passed since the spread of the COVID begin, but it seems that we are finally heading towards the end in conjunction with the improvement in the vaccination ratio. The lockdown measures in countries, including Japan have been gradually relaxed. In addition, although we cannot be optimistic, our semiconductor supply chain system is gradually being developed. On the other hand, the macro environment surrounding us seems to be increasingly uncertain due to the situation in Russia and Ukraine where there are known prospects for a solution. Energy prices which are rising in rapidly as a result, both material prices starting due to the rapid and the large depreciation of yen inflation at unprecedented levels, rapid rise in interest rates to curb inflation and the concerns about the future economic downturn. Under these circumstances, our performance has improved substantially year-over-year due to the benefits of our efforts to improve profitability, which we have been pursuing since last year, coupled with a favorable impact from the foreign exchange rate. While we are aware of a cost pressure in the future such as rising raw material prices and inflation, we have revised our full year forecast following from the first quarter based on our results for the first half of the fiscal year. Although the environment surrounding us is a changing day by day and difficult to deal with, we will continue to make every effort to further improve our profitability and achieve the revised forecast for FY2022, the final year of our midterm plan. Thank you very much for your attention.
Operator:
Q - :
 :